Operator: Ladies and gentlemen, thank you for standing by and welcome to the American Express Investor Relations third quarter earnings conference call. (Operator Instructions) And as a reminder today’s conference is being recorded. I would now like to turn the conference to Senior Vice President of Investor Relations, Ron Stovall. Please go ahead.
Ron Stovall: Thank you Gwen, and thanks to all of you for joining us for today’s discussion. As usual it’s my responsibility to remind you that the discussion today contains certain forward-looking statements about the company’s future financial performance and business prospects which are subject to risks and uncertainties and speak only as of today. The words believe, expect, anticipate, optimistic, intent, plan, aim, will, should, could, likely and similar expression are intended to identify forward-looking statements. Factors that could cause actual results to differ materially from these forward-looking statements including the company’s financial and other goals are set forth within today’s earnings press release which was filed in an 8-K report and in the company’s 2008 10-K report, already on file with the Securities and Exchange Commission, in the third quarter 2009 earnings release and earnings supplement on file with the SEC in an 8-K report, as well as the presentation slides, all of which are now posted on our website at ir.americanexpress.com. We have provided information that describes the company’s managed basis and other non-GAAP financial measures and the comparable GAAP financial information. We encourage you to review that information in conjunction with today’s discussion. Dan Henry, Executive Vice President and Chief Financial Officer, will review some key points related to the quarter’s earnings through the series of slides included with the earnings document and provide some brief summary comments. Once Dan completes his remarks we will turn to the moderator who will announce your opportunity to get into the queue for the Q&A period where Dan will be available to respond to your questions. Up until then, no one has actually registered to ask questions. While we will attempt to respond to as many of your questions as possible before we end the call, we do have a limited amount of time. Based on this we ask that you limit yourself to one question at a time during the Q&A. With that let me turn the discussion over to Dan.
Daniel T. Henry: Thanks Ron. So I’ll start with the slides and start on Slide 2, Summary of Financial Performance. So our revenues were slightly above $6 billion, down 16% from last year. That compares to being down 18% in the second quarter. Income from continuing operations was $642 million and diluted EPS from continuing operations was $0.54. Now included in the $0.54 is an FX item that I will discuss in a moment that increases EPS by $0.10. I recommend that you exclude this item in evaluating our operating results and think of our EPS from continuing operations as $0.44. Now if we go to Slide 3 we can see that this relates to our accounting for a net investment in foreign subsidiaries and the accounting for the related FX hedge. There’s two pieces. One relates to a correction of prior period accounting with a cumulative catch-up in the third quarter, which is $135 million pretax or $85 million after tax. The second piece is the impact of the same item in the third quarter of ’09, $45 million pretax, $82 million after tax, a combined $0.10. So a primary point that I want to make is that the FX exposure that we had was properly hedged and we have no economic gain or loss on this. Now let me explain the transaction that gave rise to this. We had a UK sub with equity of $1.2 billion, so basically a net asset. Now normally we hedge our exposures before we contract, but in this case we issued sterling debt. So we had an asset position, sterling debt and we had a good economic hedge. However, in September of ’07 a portion of the debt matured and our system correctly identified that we had an FX exposure and so we went out and purchased a forward contract to hedge that position. Unfortunately the system identified it as a P&L exposure and therefore when we put the hedge on we designated it as a P&L hedge. And to the last two years the losses that were occurring in translation on our asset were offset in the P&L with gains on our forward contract, so basically net zero in our P&L. Now we should have identified that exposure as a balance sheet hedge. So now we need to go back and correct that. And the losses that were incurred in the P&L we’re basically reversing, creating income in the third quarter. Now normally you would think that the related item would also get corrected and there would be a zero impact. However, there are very specific rules in accounting related to foreign exchange hedges and you are not allowed to re-designate a hedge after its put in place. And that’s what’s giving rise to this $180 million pretax. But again I want to emphasize that over the two year period we had a good economic hedge in place. And I would recommend that you exclude this when you think about our result and think about EPS as $0.44. So with that let me go to Slide 4, Metric Performance. Billed business was $156 billion. That’s down 11% on a reported basis, 9% on an FX adjusted basis. In the second quarter we were down 13%, so we’re showing some improvement. And in fact, in September on an FX adjusted basis we were down 7%. You can see cards in force are down 4%, but if you exclude the inactive accounts that we canceled, we would only be down 0.4%. If you look at average cardmember spending, it’s down 3% and if you move down to loans and I think the right thing to do is look at managed loans were down 19%. But managed loans are decreasing at a faster rate than billings and this is due to the fact that acquisition of new cardmembers are lower than we have historically had due to the lower marketing spend in the first part of the year. And that remittance or the cash we were receiving from customers is exceeding each month the billed business volume plus the finance charges, and that’s really a reflection of customers de-leveraging. If you look at sales, they continue to be significantly impacted by the economy. If we move to Slide 5 and we look at the blue bars, this is the dollar of billed business by month. If you look at the green line it’s the year-over-year growth and the yellow line is the year-over-year FX adjusted growth. Now if you look on the right side you’ll see since May our billed business has been pretty stable month-to-month at about $51 or $52 billion. Now the rate of billed business decline is moderating as the year-over-year comparisons are becoming easier. And if you go back to the left you can see in April of ’08 last year, since then billings have been declining. So if billed business remained at $51 or $52 billion each month for the balance of the year, the rate of decline in the fourth quarter would be very low single digits or about flat year-over-year. Now that’s not a forecast of what billings will be but just to give you an idea of what the growth rate might be. Turning to Slide 6, here you can see the number of transactions continues to hold up very well and you can see that in the third quarter of ’09 transactions were about the same amount as they were in the third quarter of ’08. What’s really have going on is that you have lower transaction size and that’s what’s driving down total spending. The good news is that cardmembers continue to take their card out of the wallet and use it, reflecting the loyalty that cardmembers have to our products. If we move to Slide 7, this is the slide that we have shown for the last several quarters, and if you look at charge card a/r which is the dotted yellow line, its tracking pretty closely to charge spending which is the solid yellow line. Now you can also see that charge spending is improving or have a lower negative growth rate at a faster pace than spending on our lending products which is the blue solid line. And you can see that on the right side of this chart. Also you can see that loans continue to decrease, which is the blue dotted line, as lending product spend has flattened out. Now moving to Slide 8, our revenue performance, you can see that discount revenue is down 12%, in line with the decrease in billed business. Net card fees are only down 1% as cardmembers continue to value the premium products that we have in the marketplace. If you look at net interest and securitization income, we have lower securitization income primarily because of higher write-offs and lower net interest income due to lower loan balances. If you look at travel it continues to be negatively impacted by the economy. Looking at other revenues, this is driven lower by lower delinquency fees and the fact that the GE portfolio revenues last year were on the slide and as we migrated those to the AmEx network, those revenues are now up in discount revenue. Moving to Slide 9, provision for losses, you can see that we have lower charge card provision driven by lower write-off rates and a significant improvement in the 30 day past due levels as well as lower A/R. Lending is basically flat as higher write-off rates are offset by lower balances and improvements in the 30 day past due levels. I’ll cover credit in more detail in a few slides. Looking at Slide 10, expense performance, you can see that marketing and promotion is down 22% from last year but it is up $150 million compared to the second quarter as lower provision has enabled us to increase our investment spending. Rewards has moved down with volume, as well as the benefit of us revising our redemption policy in MR related to 30 day past due accounts to make it more restrictive. Salaries and benefits down 14%, reflecting the reengineering that we have done over the past 12 months and other operating expense includes $180 million reduction related to the FX item I discussed earlier. Excluding that, other operating expense would have been down 8%. Moving to Slide 11, which is metric performance for our U.S. consumer business, you can see that billed business at $85 billion is down 13%. That compares with being down 16% in the second quarter and you can see that consumer is approving somewhat more quickly than small business. Now cards in force are down 11%. If you excluded the 2.7 million inactive cards that we canceled that would have been down about 5%. And again that reflects the fact that we had lower marketing spend in the early part of the year. Average spend is down 3% and that’s a notable improvement from being down 12% in the second quarter. The terms of cardmember loans, I think it’s important to look at managed and again you can see that we’re having a decrease in loans greater than the decrease in lending spending. And again that’s due to lower acquisitions and the fact that remittances are higher than the billed business and finance charges in the quarter. And again travel sales are negatively impacted by the economy. If we go to Slide 12, which is the metrics for our international consumer business, billed business at $24 billion is down 12% on a reported basis and 6% on an FX adjusted basis. And these continue to be better than what we see in the U.S. Now on a regional basis, Japan, Canada and Europe are all down about 7% and Latin America is actually up 2%. Cards in force which were down 7% if you excluded the 550,000 cards we canceled that were inactive, it would have been down about 4%. Average spend is basically flat and like the U.S. loans are decreasing faster than lending spend. If we go to Slide 13, metrics for our global commercial services, billed business is at $27.9 billion, down 14% on a reported basis, 11% on an FX adjusted basis. And this is a substantial improvement from the second quarter when we were down 18% on an FX adjusted basis. If you look at this split between the U.S. and outside the U.S., the U.S. is down about 10% and outside the U.S. is down 13% on an FX adjusted basis. In the regions outside the U.S., JPAA, Canada and Europe range from being down 12% to 16% on a FX adjusted basis and Latin America is actually up 7%. You can see the cards in force are up 1% and this is really the migration of the GE cards onto the AmEx network back in the first quarter of ’08. And again here, travel sales are being negatively impacted by the economy. Moving to Slide 14, metrics for GNMS, you can see that we’ve had a moderation in the decline in business both in the U.S. and outside the U.S. If you look at reported U.S. numbers, everyday spending is down about 10% and T&E spending is down about 14%. The discount rate continues to hold up reasonably well at 2.54%. Global network services billed business was 2% on a reported basis and 7% on an FX basis, which is strong growth. Cards in force grew primarily driven by existing partners, particularly in JPAA and Europe. Now moving to Slide 15, which is charge card net write-offs and 30 days past due, and you can see that the write-off rate in 30 day past due improved compared to the second quarter of ’09 and in fact is lower than the third quarter of ’08. So this is going to have a positive impact on our provision and it’s a combination of the 30 day past due rate dropping from 2.6 in the second quarter to 2.2 in the third quarter. Also the fact that receivable balances have declined about 15% and write-off rates, write-off of dollar amounts are down. If we move to Slide 16 which is charge card net loss rates and 90 day past due in international consumer and global commercial, you can see that we are having some increase in the net loss ratio as a percentage of charge volume and both are up slightly compared to the second quarter. But very importantly, the 90 past due rates have improved compared to the second quarter and are better than the third quarter of ’08. So the ICS and GCS provision is also benefiting from lower receivable balances as a result of our lower volumes. Turning to Slide 17 which is our lending managed net write-off rate. As you can see from the chart in the sector we have improvements across both units in the third quarter compared to the second quarter. The managed U.S. write-off rate is at 9.8 compared to 10% in the second quarter and in fact was 8.4 in September. So while our AXP write-off dollars in the third quarter were $200 million higher than the third quarter of last year, they are $200 million lower than the second quarter of ’09. And we expect the fourth quarter ’09 write-off rate to be lower than the third quarter ’09 write-off rate. Moving to Slide 18, which is lending managed 30 day past due and the 30 day past due is really a key indicator of future write-offs. So we had an improvement in the 30 day past due in both the U.S. and international consumer groups. This improvement is due in part to changes in our re-aging policies, enhancements in our collection practices and improvements in our decisioning models. Our lending write-off rates and 30 day past due rates have performed better than the industry this quarter. Now moving to Slide 19, so this chart we have showing the past and it’s a useful chart as you think about future write-off rates. Now if you look at the upper left chart, which is the current 30 day past due chart and you look at the green triangles, these are the accounts that actually wrote-off in the third quarter. Now obviously how much writes off is also subject to the rate of accounts that moved from 30 days past due to write-offs. Okay? Now the improvement that we saw in the third quarter compared to the second quarter is very much attributable to the improvement that we saw earlier this year in the current to 30 day buckets. Now if we look at the yellow triangles, these are the group of accounts that we write-off in the fourth quarter, but again it will be subject to the movement in the rate of accounts that move from 30 days past due to write-off. And it’s also the level of bankruptcies and recoveries will also be a factor in terms of what we see the actual write-off rate to be in the fourth quarter. So if we move to Slide 20, these charts are simply to give you an idea of the monthly depiction of what we saw in net write-off rates and the 30 day past due rates. And as you can see, both improved over the course of the third quarter. So let me move to Slide 21, which is our lending provision and the blue bars is the provision and the yellow bars are the write-offs in each quarter. Now the reason for this is that the economy remains uncertain, unemployment is predicted to stay stubbornly high, we have changed our re-aging policy which will have a positive economic impact for us but we are monitoring closely how the re-aging affects accounts that have been re-aged. We continue to be cautious in our provision, as you can see by the charts it’s higher than our write-offs thereby increasing our reserves. So if we move to Slide 22, which is our lending reserve coverage, in the U.S. and worldwide we have increased our reserve coverage to reflect the inherent risk in our portfolio in these uncertain times. On the chart you can see the coverage in the U.S. as well as worldwide, and we consider these to be appropriate. Moving to Slide 23, these are our capital ratios. All of our capital ratios improved compared to the second quarter. All are above the benchmark rates for well capitalized, which you can see on the right side of the chart. In the industry there’s much focus on capital and capital ratios once securitized loans come back on the balance sheet in the first quarter of 2010. Therefore we have provided a pro-forma ratio as if they have come back on the balance sheet at September 30. You can see that our capital ratios remain above the benchmarks and I point out that our tangible common equity to risk related assets is at 8.1%. As we move to Slide 24, you can see that we continued to raise deposits and issue debt in the third quarter. Our cash now stands at $19 billion and as is our practice we adjust cash to back out our operating cash and short term outstandings, and then add in our liquidity investment portfolio. So our excess cash and readily marketable securities stands at $24 billion and this exceeds our expected maturities over the next 12 months. If you move to Slide 25, this chart shows you maturities by quarter over the next 12 months. Now you might note that our cash and marketable securities is at $25 billion and our 12 month maturities is at 18, and you may ask why we have the balance of cash and marketable securities so high. And the reason is in the fourth quarter we have a seasonal increase in billing and therefore an increase in accounts receivable loan balances. And we wanted to have a normal amount of funding in the fourth quarter and don’t want to have an unusually high amount. So we’ve built a higher liquidity position in the third quarter in anticipation of higher billings in the fourth quarter. Moving to Slide [36], you can see detail on our deposit programs. We continue to build our retail CD’s and they have an average maturity of 26 months. The average duration of retail CD’s raised in the quarter was 21 months. Now retail savings accounts have increased and that’s due to a signing of a new brokerage firm as an added distribution channel, direct deposits gathered through our personal savings program and increases from existing channels. Deposits now total $23 billion. So with that let me conclude with a few final comments. Given the difficult environment over the past year, our focus was towards the basics of staying liquid, staying profitable and investing selectively. While our operating results have been negatively affected through this period, we believe we have made progress on a number of fronts which should position us to emerge from this downturn in a stalwart and better position. Going forward our emphasis is transitioning towards investing in initiatives which will best position the company to grow over the moderate to long term. Our profitability in the quarter reflects the competitive strength of our diversified business model, where we play multiple roles in the payment issuer, processor and network provider. While year-over-year spending comparisons remained negative during the quarter, monthly comparisons have recently improved as absolute spending levels have stabilized. This pattern is fairly consistent across all of our businesses and it is an encouraging sign of the potential to return to cardmember spending growth in the coming quarters. Credit trends continue to show overall improvement. Charge card losses have moderated in the United States over recent quarters and past due trends around the globe have improved. As expected, lending write-offs declined substantially in the quarter, although remain at historically high levels. Despite the decline, we increased reserves in light of the uncertain surroundings that time and the timing of ultimate improvement in unemployment and other economic trends. Expense comparisons in the quarter continue to reflect the savings we have been able to achieve through two previously announced reengineering programs. However, as we discussed last quarter, our expenses also reflect the initial increase in business building investments. This additional spending became available through the better than planned credit trends experienced to date. Areas of focus for investments include a focus on our premium lending strategy, evidenced by the recent extension of our British Airways partnership and the continuation of investments in our Delta and Starwood partnerships, activities surrounding our proactive charge card product and marketing efforts, initiatives related to the expansion of our merchant acceptance around the globe, G&S partner related product launches and signing efforts, growth in our corporate services product offerings and expense management services, brand building initiatives in the United States and selected international markets, and activities surrounding our data and information management capabilities. While there is still reason to be cautious about the impact of high unemployment levels, we expect to see sequential improvement in loan loss provision during the fourth quarter. Therefore we anticipate that we will release a greater level of incremental investments in the fourth quarter, which would further reduce the $1.5 billion of investment related savings that was originally targeted in our reengineering programs. In closing, it’s still too early to say that all of the economic challenges are behind us. We have seen some encouraging signs of progress over the last several months. However, while the global economy will recover, we do expect the resulting environment will be characterized by slower billings growth as consumers and business remain cautious about their spending. But we believe American Express has the right products and services for this new economy, including the ability to provide exceptional customer service. With our recent reorganization changes we believe the company will be better positioned to effectively lever its assets and resources and invest in those areas of the business that will strengthen our competitive position. We are confident because our business model comprises a diverse set of activities that span the payment industry, our brand is a unique asset that is recognized and respected around the globe, our premium customer base remains a key advantage and it retains the capacity to grow spending substantially as the economy improves. Our global merchant network is positioned to capitalize on the many future growth opportunities resident in the payments industry. Our capital planning has anticipated next year’s consolidation of off balance sheet assets. And we’re focused on maintaining a capital funding and liquidity profile that is appropriate for these volatile times. And lastly, we believe we now have the ability to invest in a number of terrific opportunities for growth and set a winning strategy to capitalize on them. Thanks for listening and we are now ready to take questions.
Operator: Thank you. (Operator Instructions) Your first question comes from Meredith Whitney - Meredith Whitney Advisory LLC.
Meredith Whitney - Meredith Whitney Advisory LLC: My question is on obviously everyone’s trying to get to continuity of earnings, core earnings, and as there’s so much on the forefront in terms of changes and restructuring and the whole pricing schemes through businesses and the car business and up front fees, is there any glimpse in this quarter’s numbers of how the pricing schemes may be changing? Or what quarter is that going to affect? And when do you imagine you will have a good view of a run rate going forward and what will be the catalyst that will trigger a more pronounced investment in marketing?
Daniel T. Henry: Okay. So as I think about it, even though we’ve had improvement on the billings front where growth is less negative and we’ve had improvement in our credit metrics, our credit metrics are still very high from a historic basis. And to get back to what would be more normalized core earnings, I think you need to have loss rates fall to more historic levels. I think you also need to see you know GDP growth, because what we see in billings is highly correlated to that. I mean its also affected by you know the products we put in the marketplace and putting value propositions out there. But I think to get back to a normal state I think we need to have GDP. Probably won’t get back to where we were over the last 5 or 6 years but get back to a healthy growth level and to see write-off rates back to normal levels. Now if you look at historical periods being 1991 or 2001, you know credit really improved generally over 6 to 8 quarter period. Now whether that will replicate itself now or not, we’ll have to wait and see. But one thing that is for sure is as credit improves, our provision levels will decrease. Now we could have a choice of just dropping that right to the bottom line or we could actually have a mix of allowing some of it to drop to the bottom line and using some of it to invest in the growth of our business. And that’s what we plan to do. So I think that’s what I think about overall. Now you also asked about pricing on our products. Now we did put some pricing increases in place earlier this year and we announced that put some in recently. Now you don’t really see the impact of those recent increases in the third quarter. You will see those in the fourth quarter. But we’re going to be very focused on as the credit indicators improve and as billed business improves to invest in the long term growth of the franchise.
Meredith Whitney - Meredith Whitney Advisory LLC: There’s a large retailer that just described the current environment as “spending has stabilized but there’s no vitality.” Is that what you’re seeing? Or can you give us some anecdotes that might be interesting to characterize the kind of spending changes or stabilization that you’re seeing?
Daniel T. Henry: Yes. I guess what we showed on the chart that kind of showed billings by month really June, July, August and September were all very consistent. Really stabilization of billings. Before that we were really in a declining environment. So I think that’s exactly what we’ve seen over the last four months is really a stabilization in billed business but not an acceleration at this point. And you know I think a lot of things are going to impact that. I think its GDP, it’s what the savings rate is going to be and a lot depends on consumer confidence. So I think most things will need to move in the right direction before I think we start to see you know a notable improvement in the volume of billed business by month.
Operator: Your next question comes from John McDonald - Sanford C. Bernstein.
John McDonald - Sanford C. Bernstein: I was wondering on the reserve release you expect the reserve release to continue in both the charge card and the lending books as we look to the fourth quarter?
Daniel T. Henry: Well we did not have a release of reserves in our lending book. We actually increased reserves by something north of $100 million. What actually takes place in the fourth quarter will be dependent on the actual you know write-offs and delinquencies that we see in the quarter, as well as what we see in the environment. Because when we think about what our provision should be and where our reserves should be, its looking at internal information as well as external information in terms of what risks continue to be in the environment. So in lending we actually had a reserve build in the quarter and next quarter will depend on you know the fact and circumstances at that time.
John McDonald - Sanford C. Bernstein: If I’m looking at Slide 19 correctly, with the yellow triangles and the blue triangles, the yellow triangles would suggest and kind of predict what your fourth quarter charge-offs would be and then the blue kind of suggests maybe the forward quarter and first quarter next year?
Daniel T. Henry: Yes. The yellows will progress through the agings and be reflected as write-offs in the fourth quarter. Now what level they actually come in at will depend on you know what is the roll rate from 30 days past due to write-off? You know it could go up or down, based on where that rate goes. And you’re right, the blue bars that you see there are more reflective of what you see in the first quarter. Now you can see that there’s a little bit of a pickup in those blue bars and I would just point out that based on changes in the law, we had to change the payment date that we print out our statements. And in the past, if someone missed the payment date by a day or two, they still stayed current. Okay? However now if they’re a sloppy payor and slip by that payment date, they actually roll one bucket. Okay? However, we’ve looked at that bucket and the next bucket and if you actually go to the next bucket there’s really no deterioration. The little pickup is really based on the change in the payment date that we had to put on our statements.
John McDonald - Sanford C. Bernstein: And just to clarify, so in the charge card book your reserving is dictated by the delinquencies and the level of A/R. Is that where you indicated you could release again and see some benefit that you would use on expenses?
Daniel T. Henry: Yes. So I think there’s three factors that are going on that are affecting reserves. You know first it’s just what the write-offs are and they’re lower. Second very important is what’s the change in delinquency from the prior quarter. Right? And in this quarter we had a decrease. Okay? So that was helping. In addition, the A/R balances are down. So all those things are contributing to it going down. Now what that number is next quarter will depend on where A/R goes. It will depend on the write-offs in the quarter and it will depend on whether delinquencies are stable, decline or increase. And all those factors will play in whether it’s a release or a build.
Operator: Your next question comes from Robert Napoli - Piper Jaffray.
Robert Napoli - Piper Jaffray: Just looking to follow up on that Page 19, looking at those yellow bars I mean it looks like the average of those yellow bars is about 20% below the average of the green bars. I mean that would put your charge-offs hitting in the 7s in the fourth quarter. That would be a pretty significant improvement. I mean is that a reasonable way to think about that? I mean the trend in the bars is pretty much where you’re pointing out to us it shows significant improvement in the fourth quarter versus the third quarter.
Daniel T. Henry: So as you know I’m not going to predict the, but the whole intent of this chart is to give you an indication of the information we have that can be helpful to you in thinking about that. But I remind you first that while it’s 8.9% for the quarter, write-off rates were 8.4% in September. So you should keep that in mind. But also always keep in mind that chart just below it in terms of what percent rolls from 30 days past due to write-offs can be a factor. And if that drops it can be a real help in the write-off rate. If it ticked up, it would diminish the benefit that you’d assume from those yellow bars. And the other thing is always think about this chart on the right which are bankruptcies. Right? So they were pretty stable from the second quarter to the third quarter, you know that could happen again in the fourth quarter or they could move up. So you know these are all different factors that are going to influence the fourth quarter. But your observation that the yellow triangles are lower than the green triangles are correct.
Robert Napoli - Piper Jaffray: A follow up on holiday spending I guess and your thoughts on holiday spending. And the chart on Chart 5, I think last year was the first time in my extended career that I’ve ever seen spending lower in the fourth quarter than the third quarter. But do you have any research that American Express has done in working with retailers and your clients, do you have a feel for you know your thoughts on holiday spend? I mean would you be surprised if you don’t, I mean I would expect that you would generally see and expect to see a pickup seasonally in those blue bars on Page 5.
Daniel T. Henry: So I mean I think you’re right. There’s usually a seasonal increase. You know last year was as we all know an extraordinary year. You know as I said before you know we’ve had stabilization for four months and it’s really almost fact as I discussed before about whether that’s going to pick up. I mean I think in the short term you know a lot of it has to do with consumer confidence and how people are feeling when they get into November and December.
Robert Napoli - Piper Jaffray: How’s October look?
Daniel T. Henry: So what I would say is that each month in the third quarter, our year-over-year decline billings improved and that’s continuing into October so far.
Operator: Your next question comes from Craig Maurer - Calyon Securities (USA) Inc.
Craig Maurer - Calyon Securities (USA) Inc.: I have two questions for you. The first is regarding the managed loan book, historically you see an uptick in loans in the fourth quarter. It’s seasonal. I understand that. But this year clearly we’re in a materially different environment. Do you think that there will be appetite to increase leverage in the fourth quarter due to holiday spending or that we’ll see another downtick in the overall lending balances?
Daniel T. Henry: You know that’s very hard for me to answer. It really depends on the psyche of consumer you know over the next two-and-a-half months. It’s really hard to predict. You know whether the declining loan balance will be less than we had this quarter, it’s hard to predict. But you know as I said I think I don’t have a good insight into that but what we have seen is stabilization and you know where we go from here really depends on the psyche of the consumers over the next two-and-a-half months. So I don’t have good insight for you.
Craig Maurer - Calyon Securities (USA) Inc.: The other question is if you look at your reserve coverage, it’s gone up substantially, especially if you look back to first quarter. I’m trying to get an idea of what your comfort level is on reserve coverage because the directionality of the credit losses and delinquencies in the quarter would have dictated, at least in my mind, reserve stability rather than growing the reserve this quarter, but I understand the reason for a conservative approach. But looking out to the fourth quarter, I mean I’m just trying to get a feel for what your comfort level is on coverage.
Daniel T. Henry: So obviously some of that will depend on our internal metrics that we see. But also it’ll depend on you know the external environment. If you know the external environment seems to be improving and be more positive, you know I think we’ll factor that in. If on the other hand it continues to be very uncertain, very unclear about where unemployment’s going to be, then we’re going to factor that in. And if that’s very uncertain I think we’ll continue to be cautious. So I think it’ll be both our internal metrics as well as what’s taking place in the environment outside.
Craig Maurer - Calyon Securities (USA) Inc.: And when you look at those coverage ratios, I’m just curious which you weigh more heavily, coverage of total loans or coverage of delinquencies?
Daniel T. Henry: We don’t weigh any one as a premium to the other. We actually have you know a migration analysis that we do, based on historical information. You know we take a look at the re-agings that we did recently and estimate what we need for those. We look at really quite frankly half a dozen or more different ratios in terms of assessing you know where we should reserves. So I don’t hold one as a premium to others. And in one period one may be more important to us than another. So I think it’s really the whole myriad of internal information we have married with the external environment that really decides where we set reserve levels.
Operator: Your next question comes from Christopher Brendler - Stifel Nicolaus & Company, Inc.
Christopher Brendler - Stifel Nicolaus & Company, Inc.: You had guided to 15%, above 15% the last two quarters and below 15% for the year. With the performance this quarter you guys look like you’ve done a little bit better than that.
Daniel T. Henry: Chris, I’m sorry but I couldn’t hear your question at all. I don’t know if you’re on speakerphone or what but I really couldn’t hear what you were asking.
Ron Stovall: Can you pick up the handset maybe? All right, maybe he can call back. So operator, why don’t we move to the next caller.
Operator: Your next question comes from Sanjay Sakhrani - Keefe, Bruyette & Woods.
Sanjay Sakhrani - Keefe, Bruyette & Woods: Dan, could you talk about the deep coupling trend between kind of billed business volume in U.S. card versus receivables shrinkage. Those seem to be tracking kind of closely in previous quarters and I was just wondering what exactly happened this quarter that led to a variance.
Daniel T. Henry: Yes. Okay. So I think new cards coming in is one of the elements that causes loan balances and spending to run on similar tracks. So it’s new customers coming in as well as spending on existing customers. So I think the fact that our marketing dollars have been down somewhat for some period of time here, a few quarters, is starting to have an impact. And just mathematically what we’re seeing is that the cash that customers are sending in is exceeding the amount of billings and finance charges. So I can only surmise that some customers deciding that they want to de-leverage and we’re seeing that in the loan balances. The other thing that I’d point out is the payment rate is you know about 25% and has really held up really very well for us in this environment.
Sanjay Sakhrani - Keefe, Bruyette & Woods: Another question, a follow up, was just not on guidance but some direction you gave us into the fourth quarter billed business volume trends to be kind of flat to maybe down low single digits. You know under that assumption, you’re just looking at the trend in the third quarter, right? Are you including kind of the tailwinds you may have from FX and kind of gas prices?
Daniel T. Henry: Yes. I wasn’t trying to do a forecast. All I was trying to do is say if we had $51 or $52 billion of billings in the three months in the fourth quarter, because the grow-over’s getting easier we would actually be about flat, maybe down low single digits. I was just trying to dimensionalize you know where we’re going if the stabilization continues. Certainly to the extent we get some pop from seasonality, you know that would be a plus. But I was just trying to frame it, I wasn’t trying to make a prediction.
Operator: Your next question comes from Donald Fandetti – Citigroup.
Donald Fandetti - Citigroup: Dan, there seems to be some concern in the marketplace about you know some of the bank competitors moving up into the higher end. And as you see the banks repositioning can you just provide us how your view on what the impact to American Express might be and your ability to compete?
Daniel T. Henry: So you’re talking about competition in the marketplace?
Donald Fandetti – Citigroup: Yes. [Inaudible], J.P. Morgan and some of the other card players move upstream.
Daniel T. Henry: So we have had the premium space for a very long time and the conversation of competitors wanting to move into our space was true 10 years ago as it is today. I mean it’s a set of customers that everybody wants to have and so they work hard to achieve that. Now if we stand still you know they would move right past us and take our customers. But we are diligent in terms of thinking about how we can improve the value proposition in our products. You can see that in the way we’ve built our membership rewards for instance, to continue to make it a premium program. You know we continue to be extremely diligent on servicing because servicing is a very, very important aspect. You may have seen that we were rated #1 in customer service by J. D. Power. And that’s really a reflection of the fact that we’ve always viewed servicing to be very important. So we know that the competition is coming after us. We’re aware of that. And we will continue to be diligent. You know if you look at you know the actual data, for instance if you look at average spending of our cardmembers compared to the competition, you know it’s significantly higher today. It was significantly higher five years ago and that really has not eroded over that time. So I think we’ve been successful. We’ll continue to be diligent and we understand that competition is fierce but we will continue to put new products in the marketplace that are right for the time. And as I said before it’s our intent to take the improvement that we’re seeing in provision and invest for the medium to long term.
Operator: Your next question comes from Dan Furtado for Richard Shane - Jefferies & Co.
Dan Furtado for Richard Shane - Jefferies & Co.: We’ve seen a substantial increase in the yield in the master trust over the last three months over the third quarter, yet there’s been no material improvement in the managed U.S. [MIM] on the credit card portfolio and I was just wondering if this lack of follow through is just simply timing or if there’s some type of fee deferment or other mechanism that is suppressing managed yield?
Daniel T. Henry: Okay. So it’s really due to the discounting that we’re doing in the trust as part of the enhancement we did earlier this year to support the trust. And it’s also due to the fact that we’re having lower credit losses. So I think the combination of those two things are what you’re seeing in the improvement in yield in the trust.
Dan Furtado for Richard Shane - Jefferies & Co.: And we shouldn’t expect that to flow through to the managed parent?
Daniel T. Henry: Yes, we always try to provide managed information because you know whether we’re talking about yields or we’re talking about write-off rates we always encourage you to look at the managed, because we think that’s a reflection of the overall enterprise.
Dan Furtado for Richard Shane - Jefferies & Co.: And then approximately how long ago in terms of your increase in the yield program to current existing cardholders, about how long ago did that start?
Daniel T. Henry: Well we did some pricing changes back in the very beginning of 2009 and we put some other pricing increases in towards the latter part of the third quarter, which we’ll see reflected in the numbers in the fourth quarter.
Operator: Your next question comes from Bradley Ball - Ladenburg Thalmann & Co.
Bradley Ball - Ladenburg Thalmann & Co.: Dan, it looks like you’re seeing better credit improvement in the charge card business in the USCS relative to the lending business. If that’s the case, why would that be the case? And you know in the past we used to look at the charge card business from a credit standpoint as a leading indicator of the lending business. Does that still hold up or have there been portfolio mix shifts that would cause that to disconnect?
Daniel T. Henry: The charge card portfolio has really performed very well throughout the last year, despite what was taking place. And I think that’s because we have the ability to approve every transaction at point of sale and it’s a pay-in-full product so if someone’s having difficulty from a payment ability perspective, we see it right away. And we have continued to hold our spills there. So I think that you know charge card was very good in this quarter but it really has been performing well over the last year. Some of the improvements in our modeling that we do in charge card we also use within our lending portfolios, and we think you know some of those initiatives are paying dividends to us not only in charge card but in lending as well. Now whether charge card will be you know a leading indicator of what’s happening in lending, you know often we see something happen once or twice and we think that’s the way it’s always going to be, but then we see something else change. You know we’ve always thought business was a leading indicator of what was going to happen and that certainly didn’t happen this time. So I don’t know whether we can read it as a leading indicator for what’s going to take place in lending. I would note that we did see in our portfolio some improvements in the lending which the competitors didn’t see in the quarter.
Bradley Ball - Ladenburg Thalmann & Co.: What would you say that the complexion of the charge card customer you know resembles that of the lending customer still or is there any diversion there?
Daniel T. Henry: Yes, I think there are a fair number of customers who hold lending products that actually behave like charge card people. I mean particularly you see that in the co-brand portfolios, but you also see it from people who decide to have a Costco card because that’s the reward that’s the best for them. So you know I think you know you look at things like average spend within our lending products and they’re higher than the competition does. And part of that I think is that we have you know a fair number of transactors in there.
Bradley Ball - Ladenburg Thalmann & Co.: I had been looking for slightly higher cardmember reward expense than you showed this quarter. You were sequentially down, below $1 billion in cardmember reward expense. I wonder if there’s anything going on there, why that expense numbers down.
Daniel T. Henry: So I think it’s one, volume. Volumes are down. And you should see rewards expense move with volumes. The other thing is we’ve put a change in place this quarter in membership rewards to make it more restrictive in terms of someone’s ability to [re-due] if they’re 30 days past due. So I think a combination of those two factors is what drove rewards expense down I think 13%.
Bradley Ball - Ladenburg Thalmann & Co.: And I’m sorry, is the volume issue coincident or does that reflect volumes from the prior periods?
Daniel T. Henry: No, it’s coincident. So you should see generally rewards expense moving with volumes in the period.
Operator: Your next question comes from Christopher Brendler - Stifel Nicolaus & Company, Inc.
Christopher Brendler - Stifel Nicolaus & Company, Inc.: My question is on lending. I apologize if it’s been asked before. I’m trying to multitask here. But my question is you know I think in my opinion your credit metrics looks to be one of the best in the industry recently. You’ve definitely gotten control of that portfolio and in the lending business to start to behave much better these days. How do you feel about the lending business, you know maybe not necessarily this year but 2010, 2011? Have you made a [inaudible] decision on how much you want to compete in that business, you know what’s the right size of that portfolio is going to be? Because it seems to me given the new rules its going to be a little more challenging to compete. And in the high end of the market, I think while your competitors would like to be where you are I’m just wondering where the growth is going to come from maybe a little longer term. Thanks.
Daniel T. Henry: Sure. So lending will continue to be a important business to us. Many of our customers who are very good customers and provide us with good economics want to have the availability to revolve periodically. Now I would say that we’re going to have our focus in lending on a premium strategy and focus on co-brand cards, focus on premium proprietary cards, so I think you’ll see us focus there to a greater degree. You know a few years back our lending spending was growing at a faster pace than the rest of the business. I would think that would be more similar as we go forward. But lending continues to be an important part of our business, but we want to do it in a way that’s very consistent with our strategy of emphasizing spending.
Christopher Brendler - Stifel Nicolaus & Company, Inc.: Is it too early to think about or to know when a rough idea of when the lending portfolio might bottom?
Daniel T. Henry: Well I think that’s going to be driven by a combination of the credit actions we take and the improvements and modeling that we have. But you know we’re not an island here and it’s going to be dependent on what happens in the economy. And if the economy stays stubbornly difficult, then I think improvement will take a longer period of time. But we’re working hard to be very thoughtful about how we manage credit and I think you saw a reflection of that in this quarter’s results.
Operator: Your next question comes from [Yanni Colaris] – Buckingham.
[Yanni Colaris] – Buckingham: What do you think the recovery of business potential or implementation of the Card Act?
Daniel T. Henry: So you know the card act is going to obviously affect our revenues significantly. We think that it will impact our competitors more than it impacts us, but it certainly has a big impact. Now you know we’ve taken some pricing actions as I said earlier this year and again recently. You know it’s our intent to have a business model that has good economics for our shareholders and balance that with the need to meet the needs of our customers. But you know it has a short term impact but we are very focused on having the right economics and margins in our business over the long term. Now you know that the implementation as of I think February, I think the committee that Chairman Frank heads actually passed out of committee a recommendation or approval to bring to the floor, a recommendation to move that up into December. So we’ll have to see whether that happens or not and what impact that would have. But certainly it will have a significant impact on our ability to be ready and have all the system changes in that we need to comply with the new rules.
[Yanni Colaris] – Buckingham: How many GE commercial cards were converted? And what was the related billed business volume? Thanks.
Daniel T. Henry: So we have not disclosed that number, but what I will say is that the actual performance of the cards that we set out to achieve was very much in line with our expectations and we’re achieving the economics that we expected when we did that transaction.
Operator: Your next question comes from Scott Valentin - FBR Capital Markets & Co.
Scott Valentin - FBR Capital Markets & Co.: Dan I think you mentioned earlier maybe on the re-aging policy change. I was wondering if you could give us some more color on that and also maybe I don’t think you disclosed in the past, but any color on modification levels maybe, since you’re increasing modifications, and again on recidivism that you might be seeing.
Daniel T. Henry: Okay. So we moved to a re-aging policy which is comparable to the standard in the industry and in fact probably our policies in terms of how often will we age are stricter than many others in the industry. And it’s part of our effort to get the right economics. And so to the extent we modified our policies and believe that we’ll be able to keep certain customers in the franchise, you know that’ll have a positive economic. Or even if we don’t keep them in the franchise forever, it would enable us to have greater collections than if we would have otherwise had if we stayed with our older policies. So that was the economics of it, was the driving force. Those things did have some impact on our ratios but it’s the other actions that we’ve taken also have a very sizable impact on the improvement in our ratios as well. You know we certainly are working with customers and to the extent we can make modifications as part of our CARE program to do something that’s helpful to both the customer and has good economics for the company, you know we will certainly do that.
Scott Valentin - FBR Capital Markets & Co.: And just a follow up on marketing, are you seeing better acceptance rates with your offers given there’s a little less competition?
Daniel T. Henry: I don’t know that number specifically, Scott, to tell you the truth, but certainly all of the investments that we make have good returns for us. And really at the end of the day that’s the thing that we’re most focused on is that if we’re making an investment that over the life of the customer that we acquire that we get good returns from a shareholder perspective.
Operator: Your next question comes from John Stilmar - Suntrust Robinson Humphrey.
John Stilmar - Suntrust Robinson Humphrey: Just a quick question. It seems like just in bifurcating the credit card trust and the charge card trust we see a dynamic underneath in terms of spending and it seems like the charge card portfolio seems to be showing a little bit more snapback, at least in terms of spending versus the credit card trust. I’m wondering underneath the surface of your global spending per account numbers that you’ve provided to us, are you seeing a difference in the customer behavior between your charge card consumer and the credit card consumers and the behavior that they may exhibit?
Daniel T. Henry: Yes, so if you go back to one of my slides we actually show you by month charge card spending and lending spending. It’s Chart number 7 and I think what you can see on there the fact that charge card is snapping back faster than lending. You know lending looks like it flattened out and charge card is improving. So I think that’s an indication of that.
John Stilmar - Suntrust Robinson Humphrey: And can you talk to me about the dynamics underneath that would be the catalyst to that? Because that’s really just a change in growth rate not an absolute return in spending.
Daniel T. Henry: So you know I think it’s based on probably the behaviors of the customers as well as the credit actions we’re taking, you know. And I think we continue to be very focused on the lending portfolio and lending spending to be focused on allowing who to spend through. I mean one of the things that we’ve been able to do that’s helped our statistics is really reduce the amount of high balance write-off. And that’s really us being able to intercede more quickly when someone’s credit is deteriorating. And when you really think about it, charge, because it’s a pay-in-full product is really a product that’s right for these times when people are looking to be more prudent in terms of managing their finances.
John Stilmar - Suntrust Robinson Humphrey: And with that, when would be able to see marketing dollars turn into accounts? Would it be in the charge card business a little more rapidly than what we would see in the credit card business? And it’s obviously emphasized in the past the strength of the charge card product over credit. Will we see the effect of marketing dollars growing in the charge card business? And will those charge card customers still be reflective of what we can see as those positive dynamics in the charge card portfolio today?
Daniel T. Henry: Yes, so we in acquisition we’re focused on charge card, we’re focused on our program products, you know as we’ve mentioned we extended our deal with British Airways, we recently re-signed with Delta and extended our contract with Starwood. So I think charge and co-brand is the place where you’ll see you know the benefits of our spending on marketing.
John Stilmar - Suntrust Robinson Humphrey: And my last question, are you seeing any geographic differences in terms of spending?
Daniel T. Henry: So outside the United States spending on an FX adjusted basis was 6%, which is better than what we see in the States. When you look in the regions outside the U.S., I think generally Latin America’s doing a little bit better but the other regions are pretty consistent.
John Stilmar - Suntrust Robinson Humphrey: And inside the U.S.? A little more granularity?
Daniel T. Henry: You know I think it’s pretty broad-based what we’re seeing by product and by geography.
John Stilmar - Suntrust Robinson Humphrey: Great. Thank you for your time.
Daniel T. Henry: Okay. So and this will be the last question, operator.
Operator: There are no further questions. Please continue.
Daniel T. Henry: Okay. All right. Thank you everyone for joining the call. We appreciate it. You know as we sat here in the first half of this year, billed business was dropping, credit write-offs were increasing and liquidity was on the top of everybody’s mind. You know as we sit here today, billed business has stabilized over the last few quarters, credit write-offs while still at historic levels are improving, and while it’s not clear exactly how the funding markets will evolve, the markets certainly have far more liquidity today. So we have navigated through these difficult markets, demonstrating the flexibility of our business model, and now we will focus on how we invest for the future over the medium to long term. So thanks everybody for joining the call.
Operator: And ladies and gentlemen, this conference will be available for replay after 7:00 PM tonight through midnight, October 29. You may access the AT&T Teleconference Replay System at any time by dialing 1-800-475-6701 and entering the access code 117490. International participants dial 320-365-3844. Those numbers again are 1-800-475-6701 and 320-365-3844, access code 117490. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.